Operator: Good afternoon. Welcome to the Progressive Care Incorporated Third Quarter Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over Ms. Mars, Chief Executive Officer. Please go ahead.
Shital Mars: Hi. I’m going to begin my reading a statement about forward-looking statements and then I will get into the body of the filing. First, forward-looking statements except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently unreliable and actual results may differ materially. Examples of forward-looking statements in this conference call include statements regarding the payment of dividends, marketing and distribution plans, development activities, and anticipated operating results. Factors which could cause actual results to differ materially from these forward-looking statements include such factors as the company's ability to accomplish its business initiative, significant fluctuations in marketing expenses, and the ability to achieve and expand significant levels of revenue or recognize net income from the sale of its product and services, as well as the introduction of competing products or management’s ability to attract and maintain qualified personnel necessary for the development and commercialization of its planned products and other information that may be detailed from time to time in the company's filings with OTC Markets. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. So I know that this got posted just about a half hour ago and you haven’t even had a chance to open up the document and read through it. I’m going to go through the financial statements pretty quickly. A lot of you are already familiar with the structure of our financial statements, but I’ll talk a little bit about what we’ve seen in the last quarter. We had a little downtick in cash and accounts receivable, a lot of what’s going on in accounts receivable is that we’re collecting and a lot of the cash that was used was for prior liabilities, accrued compensation, accounts payable and things of that nature. As you’ll notice, accounts payable and accrued liability has gone down. We have the same amount of rent liability as we had last year and then previous quarters nothing’s changed, but that inventory has gone up. Property and equipment remains pretty much unchanged. The only new equipment this year has been the ScriptPro which got installed towards the end of last year. The one thing that I will talk about a little bit more in detail is the note with Chicago Ventures. As many of you know, we took about $250,000 last July and that all has come due and we’ve been working with Chicago Ventures on different payment plans. In August, I believe, we paid down about $30,000 which was all of the interest that was due at the time. And just recently in October, we had another tranche that was due which was about 220,000. Now they requested that we pay only a portion of that while still maintaining in good standing with the note obligation. So we paid about $130,000 in October. A $100,000 of that was cash and $30,000 of that was stock. And we will continue to work with them to pay probably the remainder of this note and a portion of which in cash as much as we can and stock as much as we are able keeping in mind that we want to continue to not be dilutive of our shareholders. So as you’ll see when you read the financial statements, we have a downtick in our derivative liability that’s associated with the note coming due and the payments that we’ve already applied towards the note so far. So sales in the last quarter was $5 million and for the nine months that was $15 million. And what I’m seeing is this is probably about 2.5% increase over the same quarter last year and a 14% increase over the same nine months last year. We’re seeing a lot of growth from new clinics, a lot of growth in prescribers of compounds and prescribers of pain relief topical and eczema treatments and other dermatological products and gynecological products. So we’re seeing a good amount of revenue growth in those sectors. We’re also seeing revenue growth in 340B and in MTMs. As you saw in our press release this morning, we have the top MTM technician in the state as one of our employees. And we also are doing extremely well in maintaining our standing with MTMs by performing the cases and finishing and concluding cases faster than scheduled and faster than most companies, and we’re significantly more thorough than those companies are providing detailed reports to doctor’s offices and the insurance companies about different medication therapy management options that are available to the patient. On the 340B side, we are seeing more and more loyalty and more and more expansion of our 340B covered entities. Empower U is a growing entity in and of itself. We’re proud of what they’re accomplishing in the community. So a lot of the growth has come from their natural organic growth but also they are increasingly switching their patients over to PharmCo. Why is that happening? One, and a pharmacy that they used to use is no longer a viable option I believe that they may have been closing their doors. But they have seen what service we’ve been able to provide, what accuracy we’ve been able to provide to them, our data, our patient care, our patient management is just second to none. So even before that, they were switching more and more patients to PharmCo. And because of that work, we’ve gotten a little bit of an increase in our dispensing fees. Community AIDS network, as you know, from July or earlier in the year, we signed a contract with them. There’s a delay in implementation that is regulatory in nature but now that we’re up and running with Community AIDS and they’re sending prescriptions over to us too. And we filled just about 10 prescriptions for them last month. Empower U is now up to 300 prescriptions and that continues to grow month-after-month-after-month. So we’re seeing a lot of gains in 340B. And the more we do for these two entities, the more we can promote ourselves to other covered entities and get new business in that arena as well. So gross profit can gone up by a little bit. It’s now 27% of sales for the nine months as opposed to 26%. A lot of that has to do with growth in the sales but also decreasing cost of goods as a result of us being able to purchase more products at a time. So our bulk buying rates has actually been able to provide us with benefits on our gross margin. Obviously, a lot of the gross profit margin is greatly enhanced by the compounds that we do and the pain relief, topical and dermatological topical that we are dispensing which have a higher gross margin than traditional medication, maintenance medication or HIV or specialties. Our bad debt continues to be low. SG&A as a percent of sales has gone up but a lot of that has to do with growth in personnel. We’re devoting more personnel to MTMs. We’re devoting more personnel to telepharmacy, and I’ll go into our advancements in telepharmacy a little bit later. So we’re investing into the future of this company. We’re investing into the patient care management of this company. So that way we can be prepared for the regulatory changes, the PBM changes and just be ahead of the game and ahead of the curve when it comes to providing excellent service and superior service to our patients. So you’ll see we reported a little bit of a loss in the three months. So over the course of nine months, we have a loss of about 37,000. Most of this is a result of how aggressive DIR fees have been in this year. We’ve had DIR fees before. In the previous two years, our performance has generated DIR fees of negligible amounts in the few thousands of dollars. This year alone we have paid over $300,000 in DIR fees. Now what a DIR fee is a fee charged by PBM to pharmacies that are retroactive in nature and they’re also opaque. So every PBM has their own formula and they apply those formulas in a way that may make it difficult for the pharmacy to figure out whether we’re being charged accurately and appropriately, because we do not get to see those fees or the calculation of those fees upfront at adjudication. A lot of these fees are escrows, so they’re taken at the time of payment. Many of them are not escrowed and many of them are taken at random points throughout the financial period and some have come at unexpected times and unexpected amounts. And when we go and we review our contract and review whether these are charged appropriately, we can come close but we can’t really know for sure and there’s no appeals process for DIR. So we have DIR under cost of goods as they’re not optional. They’re mandatory. They’re charged on every prescription regardless of whether we make money or don’t make money on them. And so we net those out before we get to gross profit. So a lot of downward pressure has been applied because of DIR. We’ve had some legal fees this year that are new to this year as opposed to last year. And we have audit fees that are new to this year as opposed to last year. So we have some expenses that are new that are causing some of this downward pressure on profitability that we did not have last year. And so while we don’t expect legal fees in the coming quarter or even going into next year, we don’t expect interest expense or derivative expense or any of that in the coming quarter or into the next year, audit fees are going to continue and DIR fees most likely will become even more aggressive than they are today and we’re preparing for such an inevitability. So I went over briefly a little bit of our cash flow as you’re seeing that cash used by operating activities, a lot of that is the DIR fees, the drop in accounts receivable. The drop in accounts payable, we’ve done a really good job of eliminating all accrued liabilities from last year aside from the note, which is coming due in these current periods. We’re paying down our note. We’re working with Chicago Ventures. So we’re using our cash wisely but we do have net cash used. We believe that over this next quarter we’ll have net cash gains given that most of the money that was spent to eliminate accounts payable was in the tail end of quarter two and in this last quarter. But even so, we have about $600,000 of cash on hand and we are as of today I believe we’re at $600,000 or $700,000. So we’re maintaining that and we expect to build on that and be in a better cash position towards the end of the year than we were last year. So as we look into kind of going into the next quarter and our announcements of the current quarter, I have spoken a little bit about DIR fees already. We expect to have more gains as this is our busy season, our busiest quarter. We expect to have gains in sales. We expect to see gains in number of prescriptions filled both in 340B as well as retail prescriptions. We expect to see more gains in compounding prescriptions and non-compounding topical, pain relief topical, other alternative medications to traditional maintenance medications that we’re seeing more and more providers prescribe. We’re expecting to see more and more expansion into Palm Beach County. We’re expecting to see more growth from just organic growth, from providers we already have and new clinics that we’re signing on. And just to talk about performance, we expect our performance to improve and for us to be seeing some return in DIR fees at the beginning of next year as a result of our performance in this year and in the second half of the year. We also are going to see a little bit more on the side of a pullback on the number of prescriptions that are going to be covered by insurance. We’re going to see some things that are no longer going to be covered by insurance. However, we’ve already planned for that and we’ve kind of built that into our expectations. We know which prescriptions and which medications are no longer going to be covered under certain PBMs and certain insurance plans and we’re already adjusting accordingly. Other than that, we’re still seeing steady growth. We’re still seeing strong growth. I expect to close the year at $20 million in sales and hopefully come back and call back a little bit from the losses that we’ve had in the first nine months. I don’t expect to have a major DIR fee in the final quarter of the year. But again, those cannot be predicted with 100% accuracy. But we don’t expect a fee like we thought in the third quarter of this year. So with that, I’ll go ahead and turn it over to questions. I know there are a lot and as opposed to talking through the financials, I’d rather just go into questions and answer any of the questions we have and do it directly. So I’ll go ahead and turn it over to that.
Operator: We’ll now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Andrea LeVan with AT&T. Please go ahead.
Andrea LeVan: Hi. Ms. Mars, thank you for opening this up to questions and answers on a continued basis on these calls. We do appreciate it. So I have kind of a twofold question. One, can you give us more information on what First Look Equities is currently doing? I know that in the past you guys have emphasized that you’re focusing on growing the business and growing the top and bottom lines and things like that and not necessarily focused on the share price. But as you know, our shareholders are starting to expect a little more emphasis on the share price and getting that share price up. And so we’re curious to know what First Look Equities is doing to help with that?
Shital Mars: So we engage First Look to do content distribution. So when we do press releases, we’re trying to get that in front of as many eyes as possible. They do a little bit of PR, a little bit of IR. They do referrals for analysis and things like that and they’re connecting us with people to do investor conferences where we can be face to face and get in front of as many people as possible. What we see now – what we’re hoping to see and they started really in earnest in August-September. It was to see an increase in volume and to see more and more attention being paid to the stock which hopefully will yield an increase in share price as we continue to report positive results period-over-period, quarter-over-quarter. So that’s what First Look is doing. They’re not promoters, they’re not going to be – and we don’t really want to engage promoters. But they are involved in press release distribution and content distribution and getting people to our Web site, getting people to our – developing our social media and getting people to their own Web site where they go and do a review and analysis of our company.
Andrea LeVan: Okay. And then my other question is with regards to the offer to OTCQB? Do you have any update on that?
Shital Mars: They had some supplemental questions that I took care of towards the end of last week. But as far as any documentation is concerned, we’ve supplied them with everything. So now I’m just waiting. They may have more questions. They may need more information. But we’re expecting now for them to complete their review and then let us know what the next step is for joining the OTCQB. So as far as that is, the application is in, all required documentation is in, we’re just waiting on them to review. And the last communication I had with them was on Friday just answering a couple of follow-up questions on some of the press releases we’ve issued over the course of year and we’re hoping that that’s it. Most likely I’ll follow up again with them toward the end of this week to see where they’re at in the review process.
Andrea LeVan: Great, perfect. And then last and final question and then I’ll hand it over to someone else. Can you give a little more information or expand a little bit more on the information regarding getting into Palm Beach?
Shital Mars: Okay. So we have a few doctors and providers in Palm Beach. We have our own dedicated staff in delivery to Palm Beach County. What we’re working on is we’re having a little bit of a hiccup with the fact that we’re not located in Palm Beach. However, with the work we’ve done with the providers that we already have, we’ve seen a lot of people calling and asking for us, because there’s a lot of word of mouth, a lot of doctors are speaking to each other and we’re getting new clinics. Even in the last month, we’ve gotten new clinics from Palm Beach County. So we’re not – that was an impediment at one point. Because of the level of service that we’ve been providing to Palm Beach County, it’s no longer an issue and people are beginning to see that we can deliver from here all the way South to Homestead, all the way North to Jupiter if we have to and not lose a step in service. So we’re excited to see that expansion. We expect even a few more clinics join our team and start referring their patients to us in the next couple of months, as again this is our busy season. We’re going to see a lot of activity. And I don’t have the exact numbers on how many Palm Beach County residents we have and I can look into it and follow up with you guys, but I know that we just in the last couple of weeks got a new clinic from there. So we’re expecting more prescriptions to come from there. And then as you guys know, our plan is to expand our physical location, so that’s the next obvious spot and so we’ll probably be expanding physically into Palm Beach County whether through opening up our own retail location there or by acquiring an existing pharmacy there.
Andrea LeVan: Okay, great. I lied, I have one more. Can you expand anymore on the M&A front?
Shital Mars: So what we’ve had – we’ve had two issues; one being valuation both of our company and companies that we’re speaking to. When we’re dealing with private companies and the valuations that they’re putting on their businesses, while we want to expand, we also want to make sure we’re not overspending. A lot of times when we’re talking to – and we spoke to two pharmacies and each one had an oversized valuation of what their business was already worth. And at one point we had negotiations go all the way through to contracting. We agreed on valuation, we agreed on everything and when we delivered the contract, it fell apart for reasons we can’t even explain. So while one side is valuation, the other side is having problems with private companies and having books that are auditable, private companies that are having valuations that are reasonable, private companies that are having compliance standards that we can fold into our company. So when we go and evaluate and we continue to do due diligence – when we get to the negotiations and we’re doing due diligence and we see that the compliance is not where it needs to be or that they’re vastly overstating their AR or vastly overstating their inventory and we ask questions about these things, all of a sudden we’re not palatable acquisition partners anymore because we’re asking too many questions. And we’re not mongering their CVS who can turn a blind eye and not worry about what the pharmacy is made up of and just offer high dollar amounts per script. We actually have to care about who we work with and what they’re made up of and what their financial position is and all of that. That being said, we continue to look, we continue to have conversations, we continue to push forward. And I know it’s disappointing for everybody. We were disappointed. We were on the verge of executing our first acquisition. We were ready to make the payment and have everything go through. And at the last second with the contract ready to go, it was turned down. So we don’t know what happened. We still don’t know what happened. We haven’t had contact with those sellers, but we’re moving on to the next. We’re going to move onto the next group of sellers and we continue to have those conversations. In the meantime, we’re looking at next year we’re going to have an audit. We’re going to have two years of audits. We’re going to have a new set of eyes by being on OTCQB looking and we’ll have new investment partners. Hopefully, we’ll have new partners with a better capitalization model for our company. We can execute on an acquisition in the coming future with all of that working in our favor as opposed to being pink [ph] in everything working against us. So we’re excited about next year and we think next year is going to work out a lot better for us on the acquisition front. But even without that, we’re continuing to push forward on our own growth even if we have to go and open up our own location by ourselves.
Andrea LeVan: Okay. Thank you. I’ll let someone else put some questions in. Thank you so much.
Shital Mars: Thank you.
Operator: Our next question is from Richard Parmer [ph] with Progressive Care. Please go ahead.
Unidentified Analyst: Ms. Mars, I know you can’t talk too much about the arbitration but that has been going on for such a long time. Do you have any idea when it will be settled?
Shital Mars: No. And I wish I could talk more about it, but I can’t. So as of right now, nothing has changed and there is no information, no new information I can provide about it.
Unidentified Analyst: Okay, because you had mentioned that you didn’t see any legal fees coming up in the future. So I was wondering if that was going to finally come to a conclusion.
Shital Mars: Okay. So yes, I don’t anticipate any unexpected legal fees in the future. And even if the – with the arbitration, I expect those legal fees to be de minimis in nature. It’s not a costly undertaking to go through the arbitration process. So we’ll address that in the future. But don’t expect – other than what we’ve paid so far for the process, I don’t expect any more payments on that front.
Unidentified Analyst: Okay. And the other question I had, can you expand a little bit on this telepharmacy? Exactly what it does and what type of income do you look to get from that?
Shital Mars: Telepharmacy is a platform we’re developing on a proprietary basis. And what it essentially does is build a direct connection between a facility or a location and its patients to the pharmacy. So as opposed to waiting on calls, it creates a virtual presence for the pharmacy anywhere. So if you go to a big clinic and they have thousands of active patients, what you might see is a screen in a kiosk where you would see one of our technicians or our pharmacist and you could communicate, you can walk out of the doctor’s office with your prescription and communicate directly with the pharmacist or the pharmacy technician about those prescriptions. And in a secure way send that prescription to the pharmacy as well as your insurance information. And then we can process it and provide delivery instructions right there. So what that does is instead of having to go to Walgreens and wait in line or go pick it up on your way home or have questions in the pharmacy, you can ask questions right after speaking with the doctor, you can ask questions with the doctor. The doctor – in many cases most of the communication we have is with the doctor directly. So the doctor can take a patient’s disease state, go right to the kiosk and see – get a live feed of the pharmacy, speak to the pharmacist right then and there and ask for recommendations and treatment. And we do that all the time every day. Right now we have a beta test of the telepharmacy platform in Century Village and that has worked out tremendously in increasing the growth that we’ve seen from Century Village. A lot of patients are finding it really helpful to be able to talk to the technician right there, to be able to put the prescription that they just got from the doctor right across the street, put it up to the screen, have us see it, have us talk to them, have us tell them when they’re going to expect delivery really quickly. So as opposed to giving you a revenue estimate, what it does is it increases loyalty, it increases organic growth, it increases the likelihood that instead of the doctor recommending any chain drugstore or grocery store, they’re going to recommend us because they know that we’re right there helping them and we’re going to be right there helping the patient. So that’s about it.
Unidentified Analyst: Okay. Thank you very much.
Operator: [Operator Instructions]. Our next question is from Charles Cook, a private investor. Please go ahead.
Unidentified Analyst: Thank you. Good afternoon, Ms. Shital, and congratulations on a wonderful performance this quarter, really appreciate it. I had two questions if you don’t mind. One of them I wanted to kind of tie into some of the previous M&A question or conversation that you had and I wanted to ask if you could provide a little more insight, if you will, into the appointment of Mr. Firer I believe. If I’m pronouncing his name wrong, I really apologize. I think from his bio that was one of his areas of expertise. And I was wondering if you could share some of what your thoughts were for that appointment and how his position might help improve the stability, if you will, of the company sustaining your value model for RXMD?
Shital Mars: And that’s a really excellent question and I’m going to talk about both of the directors – in the thought process behind both of the new independent directors. And we have known – me personally I have known both of these gentlemen for almost 10 years now. So I have a deep professional respect for what they’re capable of and what they have done for the companies they work for. I’ll talk about Mr. Oleg Firer who is the CEO of Net Element first. The thing that he brings to the table is one, as you mentioned, a great amount of success in acquisitions. And what we hope to get from him is a lot of help and assistance when we start talking about acquisitions of public companies or doing mergers and acquisitions with other companies that have similar valuations to ours. We also know that he provides a great deal of guidance and expertise even when you have M&A deals of smaller acquisitions. But that’s what we brings to the table is the public company and the large acquisition support. The other thing he brings to the table is he has a very broad shareholder base himself. He also has a strong PR presence. He also has a strong Investor Relations presence. And what he has is a tremendous amount of respect in the investment community that we hope that he can now bring to us by bringing our company to the eyes that are already looking at him. And with that respect, hopefully will translate over to us knowing that what he has done for his company, he can help us do for Progressive Care. And so he brings a lot of benefits in that way. And on top of that being incredibly bright, incredibly smart and raising money and working out structures for capital raises and notes and things like that that would be beneficial to us, beneficial to our shareholders. So we’re really excited about Oleg. We know that he’s a tremendous addition to the company. And with Mr. Jervis Hough who is the Chief Compliance Officer of IFS Securities. Again, he brings a huge following. He’s incredibly vocal and active in his community. He’s vocal and active in a lot of social circles and professional circles. Then he can bring Progressive Care in a lot of – he knows a tremendous amount of investors. He also is exceptionally knowledgeable about municipal securities and the ability to work with governments and municipalities on grants and projects and things that we can work on. And he’s been instrumental in helping us look at developing our own non-profit arm so we can get some government’s work. And so we look to – that’s in his preliminary stages and we’ve had just some initial conversations, he’s brought to the table a lot of really good and exciting ideas for how we can develop our company and take advantage of the programs that are available to companies like ours.
Unidentified Analyst: Wonderful. I was thinking along those lines that you mentioned, so wonderful. And just a follow up to that as well. Can you share what might have been their appeal to wanting to link arms with RXMB with your strategy and try to go forward and build out what your vision is? Can you share some of what their thoughts or appeal might have been?
Shital Mars: Well, aside from just loving me and everything that I do.
Unidentified Analyst: Wonderful.
Shital Mars: We have had a long professional relationship with both of these individuals. And what both of them have said to me when we were talking about bringing them onboard as directors is they can’t comprehend why our valuation is the way it is, why our market cap is the way it is. They see Progressive Care as a sleeper company that has tremendous untapped potential. And they think and I agree that with their expertise and their guidance and their abilities and their connections that they can take what Progressive Care is today into what it really should be. And they see the vision the way we see it, which is that we can transform the position of the pharmacy in the healthcare industry. We can revolutionize what it means to be a pharmacy, what it means to be a pharmacist, what it means to deliver healthcare. And they see that potential in us because they see the innovation, they see the leadership and they see us doing what no other company wants to do, dares to do, tries to do in this industry. We’re doing everything to make sure that we’re delivering the best possible product and they see that. And they see that because they also exist in the South Florida community. They also exist and know that these relationships and they hear what great things we’ve done and what great things we continue to do and will do tomorrow. So I think that’s the appeal for them that this company creating $0.0150 could be a lot more tomorrow, a lot more next year and they can be a part of that. And that’s why I’m here too. It’s the same reasons. We believe in this company.
Unidentified Analyst: Wonderful. And one last question if you don’t mind. Back in 2015 and in 2016 I think the focus was on acquiring state licenses and there haven’t – at least I may have missed some updates on that and I think we stopped it like seven or eight we had acquired. I wanted to ask, can you give an update on what your thoughts are or what your, so far as the revenue stream is generating – generating revenue stream for the state licenses might be for the business model?
Shital Mars: So that’s actually a really great question because we’ve made some advancements on that front and we just haven’t done much PR on it. The reason for the pause is PBMs – after we went and got and we had almost 11 licenses, 11 non-residents licenses at the time, towards the beginning of this year we got new guidance from pharmacy benefit managers and regulators that they were looking very strictly on the business conducted out of state. Many of them had instituted new rules that would disallow a company like ours to deliver product out of state, Optum being one of those. We cannot ship or deliver out of state for any Optum patients. And as you know Optum is UnitedHealth Care. So what we decided to do was hold off, see what the new changes were going to be before we went gung ho on it because it would be a shame to get all these licenses and then have it be strictly prohibited by the PBMs. So now that we see that the rules that are being put in place are benchmarks and thresholds and they want to see that we are meeting a certain compliance standard with any prescription we get from out of state and we understand those compliance requirements, we actually have gone out and look to acquire more states. We applied to Utah. I wish I could remember the other two. There are two other states that we applied to, to get licenses and we’re waiting to hear back. But we’re renewing that focus to getting out of state licenses and we now have the compliance. As you know, we have our own compliance staff here. We have the compliance staff in place to make sure that we follow all the rules and regulations so we don’t see any issues with moving forward into other states. As far as revenue, it’s a matter of marketing and developing the team. So we have worked with our own staff. Our own staff is working on recruitment to get marketers in other states as well as developing our brand recognition in those states. So we’re seeing some business in New York, New Jersey and Texas and some others that we have licenses in and those are growing as far as revenue wise. Keep in mind a lot of what would be shipped out of state would be those topical medications, those pain relief topical, those dermatological topical and some compounds as allowed by our PBMs and the insurance plans. We’re not talking about sending simvastatin to Texas.
Unidentified Analyst: Got you. So it seems like that scenario that’s still developing, still churning so to speak, would you give an estimate as to – in terms of the revenues that’s been reported, what percentage of the state licenses you might estimate – be a part of the current revenues, if you will?
Shital Mars: I would – last guess I saw a – I’m going to do some quick math kind of using my head here. So I would say it’s about 10% out of state.
Unidentified Analyst: Yes, sounds about right. I kind of estimated that myself, about 10%, 15%. So there’s a lot of room for growth there.
Shital Mars: Yes, there’s a lot of room for growth, lot of room for expansion on that. We kept it slow on purpose and we just went through a massive audit. A lot of those claims that were under review were out of state and we did very, very well on that audit. But we were waiting for something like that to occur, we were waiting for an audit like that to come through because we wanted to see how insurance companies are going to treat these out of state claims and what they’re looking for as far as compliance and making sure that we’re meeting all the compliance standards. So we have purposely held back on marketing out of state. Now that we know that our systems are good and our processes are good and we have the right team in place, we know we can move forward and start expanding again out of state.
Unidentified Analyst: Wonderful. That’s it for me. I think I’ve taken enough time. But I want to thank you for being transparent and providing this opportunity for interaction with your shareholders, really appreciate it. Thank you.
Shital Mars: Thank you for calling.
Operator: Our next question is from Deena Thompson with Orana Village [ph]. Please go ahead.
Unidentified Analyst: Hello, Ms. Shital. It’s great to be speaking with you again and thank you for doing these conference calls. Last time you had one of these, we didn’t see the transcript of it. Was there a problem there?
Shital Mars: You’re the second person only recently to tell me that there was a transcript of the second quarter and I was sure that there was one. I will have to ask. I actually don’t know the answer to that question, but there should be a transcript.
Unidentified Analyst: No worries. I do want to congratulate you. Your numbers are terrific in light of and in spite of Hurricane Irma must have been quite an ordeal for you to go through. So congratulations on that. A quick question on OTC Markets. Your employee count still says 56. I think last time you told us it had grown from that point. Can you share any new numbers there?
Shital Mars: Yes, and I actually updated it today when I filed the filing. It’s 64.
Unidentified Analyst: Okay. So it hasn’t shown up yet but I’m sure they’ll take care of that.
Shital Mars: And I think it takes about four hours.
Unidentified Analyst: Yes, okay. So we should probably see that tonight or tomorrow latest. Thank you for the reports that you do put out. I realize that while you’re conducting business and focused on business and bottom line growth and that’s what we all want to see of course, a lot of the shareholders have a lot of frustration as you probably read on message boards and get calls and the like. Anything that you can do as a company, as a public company to stabilize the security in terms of where it’s going, how it’s been heading or the potential probably manipulation that goes on in the market?
Shital Mars: Okay. Yes, and everybody on the call and all of our shareholders kind of hear me talking about it ad nauseam, but my primary focus is the business. But I understand that you guys are shareholders. I’m a shareholder myself. I’m disappointed and for functional reasons as also for financial reasons. With the share price where it is and immense impediment to all of our goals. So we – I understand that shareholders including myself, Armen and people that own millions of our shares are saying, you know what, the stock is going nowhere. It’s really frustrating. So I can appreciate that and I understand that and I want to let everybody know that I do care about that. I’m limited in what I can do about the share price. However, the reason we engaged First Look is to start getting that volume up. The reason we’re going to OTCQB is to start getting those institutional eyes on us, those broker-dealers who wouldn’t touch us if Pink who can now come and look at us as OTCQB. We need to stay above a penny and I need to do more to look at opportunities to get that share price over and make sure we have some stability closer to $0.02, $0.0250. So we’re working on what opportunities and things we can do on our end. But understand that me as CEO and the management team is very limited in what we can do. We can’t go and promote the stock. We can’t go and tell people to buy it. Even though I was screaming from rooftops, like why aren’t you buying in this company, we’re amazing. I can’t do any of that.
Unidentified Analyst: First Look, as you mentioned, I believe you said started late August or early September. Do you see a difference? As a shareholder I’ve seen the stock price actually go down and I don’t know whether that has to do with Ventures’ $30,000 worth of stock that’s now in the market they’re diluting?
Shital Mars: No, and actually – and by the way and I didn’t mention this before, there is a Leak-Out Clause in place on Chicago Ventures. They also don’t want to see us below a penny. They don’t want to see us. So they’re trying their best to not be – to not put too much downward pressure, too much selling pressure on the stock. And we’re looking at First Look. We gave them a six months agreement for good reason. We didn’t want to sign on to a year because we wanted to see what they could do. It’s been three months now and I’m hoping that in these 90 days – what we have seen a little is a little bit of increase in volume. We’re hoping to see more of that. But towards the end of this contract term if we don’t see results then we know that we need to look elsewhere and look for other partners, look for other IR, PR partners. I think getting in front of shareholders at some investor conferences will help. We’re also looking at getting some analysts to do some write-ups on this company. But we also know that a lot of the eyes, a lot of the selling pressure, a lot of this – where the stock is at is directly tied to us being on Pink. And so we’re pushing as fast as we can, as hard as we can on getting off Pink sheet so that people will take us seriously, take what we say seriously, take our numbers seriously and we think that’s going to make a difference. I don’t know and I’m always open to ideas and we can talk about it at another opportunity if anybody wants to call here and provide us with some options, we’re open to any ideas that we can do that will help our shareholders and help stabilize the price.
Unidentified Analyst: And my very last question, I promise, I know two conference calls ago I proposed getting into medical marijuana. Any new developments on that front?
Shital Mars: The only hardship with getting into medical marijuana is that marijuana still remains a Class 1 drug federally. So even though Florida has put it up for legalization on the medical side, we have not received any guidance. And so we don’t know the compliance requirements in place for that. However, that is an opportunity for us. We actually went out to California to see some opportunities. We’ve gone to Colorado to look at things. The problems with going out of state to take advantage of some opportunities out of state is those funds cannot travel interstate. So any money that goes to California stays in California. If it crosses the state lines, we have a federal problem. And so we’re just waiting and hopefully there’s some lobby and hopefully there’s some common sense to move marijuana to a Class 2 drug which is where it belongs. And until that happens, it’s going to be very difficult as a regulated pharmacy to enter that business. But we are exploring every possibility we can to get into it.
Unidentified Analyst: All right. Thank you. And congratulations to Ms. Dominguez, is it, and to you for what you’ve done this quarter.
Shital Mars: All right. Thank you.
Unidentified Analyst: Great night.
Operator: Our next question is a follow up from Andrea LeVan with AT&T. Please go ahead.
Andrea LeVan: Yes, I’m circling back. Just a follow up on what you had just talked about Ms. Mars with regard to any ideas on Investor Relations. Have you entertained or discussed the possibility of getting your own internal IR team?
Shital Mars: Actually yes and I wish I had said it prior. We are getting our own internal team. And we’re looking for qualified individuals with network, individuals with some sense about us and with the knowledge of healthcare a little, because that makes it easier to communicate if they have some knowledge about healthcare. But we already are in the process of recruiting our own IR team.
Andrea LeVan: Great. Thank you.
Shital Mars: You’re welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ms. Mars for any closing remarks.
Shital Mars: So the one thing I do in my closing remarks is say thank you to my team. I do that every quarter and I really say to them every single day. We are nothing without our fillers, our technicians, our customer service reps, our billers, our cashiers, whoever else is supporting the company as an employee. And I want to take a quick moment to discuss something I haven’t discussed before, which is our diversity and the strength in our diversity. We are over 50% female in this company. We are over 50% persons of color in this company. Our top five management positions are – of those top five, four are occupied my women and women of color. I talked about Lyz today for a reason in my press release and I’m so proud of her and what she has done and what she brings to the table. But we are a company that is a testament to the strength diversity brings to any organization; healthcare, STEM, Humanities, Education, whatever it is. And so if anybody is looking at a company and looking at their hiring practices and looking at what they can do to make themselves better, I would tell them hire diversity, hire women, hire immigrants, hire people of color because that’s what we have done and that’s why we are growing and that’s why we are doing so well in this community. So as much as I want to thank my team, I want to let everybody know that I admire my team and what they do and what they accomplish and what they go through every day. And many of them going to school and making themselves better, many of them with children and families that they support going through hard times, going through good times and we’re a family despite having such different backgrounds. We’re from everywhere. We’re from all over the world and we work together every single day and we love each other. So if you’re looking for a reason to look at what’s good about this company and what’s important in this company, that’s it. That’s what we are and that’s who we are. So thank you again for being on this call. Thank you for being shareholders. Thank you for believing in us. And here’s to a really good rest of the year.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.